Operator: Good morning. My name is Jackie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Comerica First Quarter 2013 Earnings Call. [Operator Instructions] I would now like to turn the call over to Ms. Darlene Persons, Director of Investor Relations. Ms. Persons, please go ahead.
Darlene P. Persons: Thank you, Jackie. Good morning, and welcome to Comerica's First Quarter 2013 Earnings Conference Call. Participating on this call will be our Chairman, Ralph Babb; Vice Chairman and Chief Financial Officer, Karen Parkhill; Vice Chairman of Business Bank, Lars Anderson; and Chief Credit Officer, John Killian. A copy of our press release and presentation slides are available on the SEC's website, as well as in the Investor Relations section of our website, comerica.com. As we review our first quarter results, we will be referring to the slides, which provide additional details on our earnings. I would like to remind you that this conference call contains forward-looking statements and, in that regard, you should be mindful of the risks and uncertainties that can cause future results to vary from expectations. Forward-looking statements speak only as of the date of this presentation, and we undertake no obligation to update any forward-looking statements. I refer you to the Safe Harbor statement contained in the release issued today, as well as Slide 2 of the presentation, which I incorporate into this call, as well as our filings with the SEC. Also, this conference call will reference non-GAAP measures. In that regard, I would direct you to the reconciliation of these measures within this presentation. Now I'll turn the call over to Ralph, who will begin on Slide 3.
Ralph W. Babb: Before we begin, on behalf of our colleagues, I want to extend our thoughts and prayers to the victims, their families and the entire city of Boston after the tragic events of yesterday. Today, we reported first quarter 2013 earnings per share of $0.70 or $134 million compared to $0.68 or $130 million for the fourth quarter of 2012. Broad-based average loan growth in each of our primary geographic markets, together with tight expense controls, contributed to our increased net income in the first quarter. Turning to Slide 4 and other highlights. Average total loans grew $498 million compared to the fourth quarter and reflected an increase of $594 million or 2% in commercial loans partially offset by a decrease of $106 million or 1% in commercial real estate loans. A $356 million decrease in Mortgage Banker Finance was more than offset by broad-based increases in other business lines, including general Middle Market, National Dealer Services, Energy, and Technology and Life Sciences. We expected a decline in Mortgage Banker Finance due to typical seasonal factors, as well as the anticipated normalization of mortgage volumes in line with declining refinance activity. We continue to add new customers and expand existing relationships, and the pipeline is strong. Total first quarter period-end loans were down from a seasonally strong year end yet above the first quarter average, demonstrating the positive growth trend we are seeing in the portfolio. Average deposits decreased $590 million in the first quarter to $50.7 billion, primarily reflecting a decrease of $1.3 billion or 6% in noninterest-bearing deposits largely related to our Financial Services division, which provides services to title and escrow businesses. Period-end deposits did not change significantly. Net interest income declined $8 million in the first quarter, primarily reflecting 2 fewer days in the quarter. The net interest margin increased 1 basis point, as excess liquidity declined almost $1 billion. Noninterest income decreased $4 million to $200 million, largely reflecting decreases in customer derivative income and commercial lending fees from high fourth quarter levels. Our tight expense control was reflected in the decrease in noninterest expenses of $11 million to $416 million in the first quarter, mainly due to a decrease in salaries expense. Credit quality was stable in the first quarter, as our strong credit culture continued to be reflected in solid credit quality metrics. We had lower net charge-offs along with declining nonperforming loans. The provision for credit losses was basically unchanged from the fourth quarter 2012. Our strong capital position is a source of strength to support our growth. We remain focused on total payout to shareholders, reflected by share repurchases and dividends, while maintaining our strong capital ratios. We repurchased 2.1 million shares in the first quarter, and combined with dividends, we returned 77% of first quarter net income to shareholders. On March 14, we announced that the Federal Reserve had completed its 2013 capital plan review and did not object to our plan and contemplated capital distributions. Our capital plan includes up to $288 million in share repurchases for the 4-quarter period that ends in the first quarter 2014. Turning to Slide 5 and a look at our footprint. We continue to leverage our standing as the largest U.S. commercial bank headquartered in Texas in order to generate new customer relationships and expand existing ones. Average loans in Texas in the first quarter were up 3%, surpassing a record $10 billion, and average deposits increased 2%. The Texas economy continues to be a growth leader. Overall, job creation in Texas continues to be well above the national average, supported by strong drilling activity and manufacturing conditions. The Texas economy leads the nation in job growth, adding 80,600 jobs in February, reportedly the biggest monthly gain ever and has averaged nearly 1,000 new jobs a day over the past 12 months. California was second in job growth with 41,200 jobs added in February. We continue to be well positioned in California. The California economy is gaining momentum, particularly in Northern California, where technology companies in Silicon Valley continue to drive growth. The rate of private sector job growth in California is above the U.S. average. Housing markets there are looking firmer, even in harder-hit Southern California. Average loans in California were up 2%, while average deposits were down, reflecting declines in our California-based title and escrow business. In Michigan, auto sales have gradually increased. We expect this trend to continue through 2013. The economic recovery in Michigan is broadening beyond the auto sector. Housing markets statewide are improving, as sales, prices and the rate of new construction all increased. Average loans and deposits in Michigan were up from the fourth quarter. In closing, we remain focused on growing the bottom line in this low-rate environment. We are pleased with our continued loan growth, tight expense management, solid deposit base and credit performance and strong shareholder payout. Comerica is an enduring company steeped in a long tradition of relationship banking, with outstanding customer service as our hallmark. We believe we are ready for the road ahead and have the right strategy in place to make a positive difference for our shareholders, customers and employees. And now I will turn the call over to Karen.
Karen L. Parkhill: Thank you, Ralph, and good morning, everyone. Turning to Slide 6. As Ralph mentioned, total average loan growth was $498 million, or 1% quarter-over-quarter, reflecting a continued increase in commercial loans and a slowing of the decline in commercial real estate loans. In fact, the combined commercial mortgage and real estate construction average loan decreased $106 million, down from a decrease of $241 million in the fourth quarter and $344 million in the third quarter of last year. On the right-hand side, average commercial loans were up $594 million and were the main driver of our loan growth. On the top portion of the bar, Mortgage Banker Finance, which provides mortgage warehouse lines, saw average loans decline $356 million this past quarter, driven by lower refinance volume. As we have said in the past, Mortgage Banker outstandings can be volatile and should continue to generally reflect mortgage refinance volume. As you can see, positive trends continued, with period-end loans greater than the average in the first quarter. Period-end loans were down from year end as a result of the strong seasonal growth we had going into the end of the year. In particular, Mortgage Banker was down $687 million on a period-end basis. Loan yield, shown by the yellow diamonds, declined 6 basis points in the quarter, reflecting the expected decline in purchase loan accretion, as well as the continued mix shift of our portfolio and a decline in 30-day LIBOR of 1 basis point. Our average and period-end loan performance for the quarter was better than the industry, as evidenced by the H.8 data. We believe this is a continued reflection of our geographic footprint and expertise in many diverse industry segments. General Middle Market average loans have increased 4 of the past 5 quarters, with a $262 million increase in the first quarter. Also, National Dealer Services grew average loans $248 million, Energy increased $151 million, and Technology and Life Sciences grew $122 million. In our Commercial Real Estate line of business, commitments have increased for the past 5 quarters, and construction loans grew for the second consecutive quarter, up $83 million in the first quarter, as demand is improving. Total loan commitments increased $357 million as of March 31, with commitments increasing in several lines of business. While our utilization decreased to 47.7% from 49.4% at the end of the fourth quarter, the change primarily reflects the decline in Mortgage Banker usage. Lastly, our loan pipeline increased, reflecting a solid rebuilding of the pipeline after the robust loan closing activity at the end of last year. As shown on Slide 7, our total average deposits declined $590 million to $50.7 billion after growing for 6 consecutive quarters. In particular, average deposits declined about $700 million in our Financial Services division, which provides services to title and escrow companies. We also saw deposits decline in several of the businesses that had strong loan growth: Energy, Technology and Life Sciences, and National Dealer. We believe this reflects our expectation that deposits will decline as the economy continues to slowly improve and companies use their excess cash in their businesses. Our average noninterest-bearing deposits declined $1.3 billion, while interest-bearing deposits increased $662 million despite the fact that we lowered deposit pricing by 1 basis point, as shown by the yellow diamonds on the slide. Our loan-to-deposit ratio stood at 86% at March 31, down from 88% at year end. Slide 8 provides details on our securities portfolio, which primarily consists of highly liquid, highly rated, mortgage-backed securities. The MBS portfolio averaged about $9.6 billion (sic) [$9.8 billion] in the first quarter. We continue to reinvest prepayments, which were about $900 million in the first quarter. The yield, shown in the yellow diamonds, declined as a result of purchases of securities, with rates in the 1.5% to 1.7% range. We expect prepayments of approximately $750 million to $850 million in the second quarter, assuming rates remain at current levels. There was no accelerated amortization -- premium amortization recognized in the quarter. At March 31, the remaining net unamortized premium was about $85 million or under 1% of the portfolio balance. The average duration on the portfolio remains low at 3.4 years. We will continue to manage our securities portfolio dynamically, taking into account loan and deposit trends, along with the current rate opportunities and the unappetizing reality of holding securities at these low rates over the longer term. Turning to Slide 9. Our net interest income declined $8 million in the first quarter, primarily due to 2 fewer days in the quarter, which had a $7 million impact. Our net interest margin increased 1 basis point. We've summarized in the table on the right the major moving pieces in the first quarter. Loan growth contributed $4 million to net interest income and helped offset the impact of lower accretion and the continued low-rate environment. While we remain focused on holding spreads for new and renewed credit facilities, there are still several mix shift dynamics impacting the loan portfolio, including high-yielding commercial mortgage loans being replaced by lower-yielding C&I loans, older fixed-rate loans maturing, as well as positive credit migration. All of these factors combined had a $2 million or 1 basis point impact on the net interest margin, which has been trending down over the past couple of quarters, indicative of the slowing of the impact. Also, approximately 85% of our loans are floating rate, of which 75% are LIBOR-based, predominantly 30-day LIBOR. Average 30-day LIBOR declined 1 basis point in the first quarter and had a $1 million or 1 basis point impact on the margin. Accretion of the purchase discount on the acquired loan portfolio contributed $11 million, which was a decline of $2 million in the quarter or 1 basis point on the margin. We have about $46 million of total accretion remaining to be realized on the acquired portfolio. Accretion should continue to trend downward each quarter, and we expect to recognize accretion at the upper end of the range we previously communicated of about $20 million to $30 million in 2013. In aggregate, total loan-related items had only $1 million or 3 basis point negative impact on the margin. Dynamics in the securities portfolio, including prepayments being reinvested at lower rates, as well as lower average balance, had a $2 million or 1 basis point negative impact. Lower deposit costs added $2 million and provided a 1 basis point increase to the margin. And finally, average excess liquidity decreased almost $1 billion, increasing the net interest margin by 4 basis points. Our asset-sensitive balance sheet remains well positioned for rising rates. Based on our historical experience and asset liability model, we believe a 200 basis point annual increase in rate, equivalent to 100 basis points on average, would result in an increase in net interest income between $175 million and $185 million. Turning to the credit picture on Slide 10. Credit quality continued to be strong in the first quarter. As you can see by the yellow diamonds, net charge-offs decreased to 21 basis points of average loans or $24 million. The chart on the right shows our watch list loans were stable, increasing modestly by $22 million to $3.1 billion or 7% of total loans. While our nonperforming loans decreased $26 million. Our provision for credit losses of $16 million was unchanged from the fourth quarter. With the decline in nonperforming loans, the allowance to NPLs increased to 120%. In addition, the average carrying value of our nonaccrual loans is about 55%, and the $617 million allowance is now over 6x the annualized first quarter net charge-offs. Slide 11 outlines noninterest income. First quarter customer-driven fees decreased from high fourth quarter levels, including commercial lending fees, which were down $4 million, following robust year-end closing activity. Customer derivative income, which is included in other noninterest income, declined $5 million from an elevated level in the fourth quarter, as well as from impact given new regulation, which prescribes the size and types of customers with whom derivatives can be transacted and requires full reporting of each customer trade. A $3 million increase in service charges on deposit accounts was a result of seasonal service charges, partially offset by higher earnings credit earned on higher deposit balances around year end. Noncustomer-related categories increased $2 million to $16 million, primarily due to a $2 million increase in deferred compensation asset return, which was completely offset in noninterest expense. Turning to Slide 12. We continue to maintain tight expense control, which resulted in an $11 million decrease in expenses in the first quarter. Salaries decreased $8 million and reflected a $3 million impact from 2 fewer days in the quarter and a $4 million decline in severance, partially offset by an increase in deferred compensation asset return, which, as I mentioned, is completely offset in noninterest income. In addition, employee benefits increased $4 million, mainly due to higher pension expense. While occupancy, restructuring and other real estate expenses declined a total of $7 million in the first quarter. We continue to carefully manage our workforce, which has decreased 3% over the past year, as shown on the bottom chart on the slide. Moving to Slide 13 and capital. In the first quarter, we completed our 2012 capital plan with the repurchase of 2.1 million shares under our share repurchase program. Combined with dividends paid, we returned 77% of net income to shareholders in the first quarter. Shares repurchased were partially offset by about 700,000 shares from options exercised, as well as employee grants that primarily occur in the first quarter. As Ralph mentioned, the Federal Reserve completed its review and did not object to Comerica's 2013 capital plan last month. The plan includes up to $288 million in stock repurchase for the 4-quarter period ending March 31, 2014. We believe our shareholder payout, which is one of the highest among our peers, is a reflection of our strong capital position, with a 10.4% Tier 1 common capital ratio and an estimated Basel III Tier 1 common capital ratio of 9.4% on a fully phased-in basis. Finally, turning to Slide 14 and our outlook. Our expectations for full year 2013 compared to full year 2012 remains unchanged from what we outlined on our call in January, with the exception of noninterest income. We are now expecting noninterest income to be relatively stable year-over-year. Our success with cross-sell initiatives and selective pricing adjustments is expected to be partially offset by greater-than-anticipated regulatory pressure on certain products, such as customer derivatives. The outlook does not include noncustomer-driven income, as it's difficult to predict. I'd like to remind you that our outlook for expenses is that they will decrease from the full year 2012 level even after you remove restructuring expenses, which totaled $35 million last year and are now complete. In this slow-growing economy, we will continue to focus on the things we can control: allocating resources to our faster growing markets and industry segments, driving cross-sell opportunities and carefully managing expenses. In closing, we are pleased with our continued loan growth, tight expense management, solid deposit base and credit performance and strong shareholder payout, and we remain keenly focused on delivering a growing bottom line. Now we are happy to answer your questions.
Operator: [Operator Instructions] Your first question comes from the line of Steven Alexopoulos with JPMorgan.
Steven A. Alexopoulos - JP Morgan Chase & Co, Research Division: I wanted to start, with net interest income now down $20 million or so year-over-year, I guess the guidance for lower spread revenue is really a function just of the starting point. My question is, with the Sterling accretion and premium amortization both looking like they're going to be less of a headwind in coming quarters, do you see yourself in a position to grow net interest income through the year from this first quarter level?
Karen L. Parkhill: Yes. Steve, on net interest income, we are not changing our overall guidance for the year, which is that we expect net interest income to be lower year-over-year due in part to the fact that we had $71 million of accretion last year and we are expecting $20 million to $30 million of accretion this year. We do see a continued impact of the low-rate environment, and we are focused on having loan growth offset that impact. We are seeing some positive trends this quarter but too early to call the rest of the year.
Steven A. Alexopoulos - JP Morgan Chase & Co, Research Division: Okay. But Karen, if the Sterling accretion should decline, right, in the coming quarters given where we were relative to the full year outlook and I think you're saying that the prepayments on the MBS book will be lower, too, so would you at least agree that the headwinds should lessen over the next couple of quarters?
Karen L. Parkhill: Yes, that is true that the Sterling accretion will decline each quarter. Very difficult to talk about the premium amortization on the securities portfolio because that's dependent on things outside of our control. But yes, we are seeing a general slowing of the headwinds.
Steven A. Alexopoulos - JP Morgan Chase & Co, Research Division: Okay. And then on the expenses, the headcount continues to grind lower. How much lower can you push that? Can you give us some color on which areas you're still finding opportunity to reduce headcount?
Karen L. Parkhill: Yes. We are very focused on managing expenses, as you know. Our outlook for the year was lower based on the impact of no restructuring costs this year, as well as taking those expenses down further. Some of what you're seeing on the expenses, though, are the focus on efficiencies that we had last year that will impact us from a full year run rate this year. And you're starting to see that in the first quarter.
Steven A. Alexopoulos - JP Morgan Chase & Co, Research Division: Okay. But should we continue to expect headcount to go -- to decline this year? Is that what you're budgeting?
Karen L. Parkhill: We are focused on managing our headcount appropriately and continuing to find efficiencies. I won't discuss what our headcount budget is going forward, but we are continuing to find efficiencies. That said, we did have a strong quarter this year on expenses, and there were some expenses like 2 less days in the quarter that impacted us positively this quarter.
Operator: Your next question comes from the line of Stephen Scinicariello with UBS.
Stephen Scinicariello - UBS Investment Bank, Research Division: Yes, just a couple of quick ones on some of the loan growth trends. And I know you had a little bit of dip in the period-end balance. This quarter, just kind of wondering maybe what were some of those kind of puts and takes on those drivers. And then as you look forward, you still expect to see good growth going forward. How much of the new pipeline is still coming from new customers, firstly? And then secondly, do you feel that you'll be able to kind of reverse the slowing pace of decline in CRE and actually grow that by year end?
Ralph W. Babb: Lars?
Lars C. Anderson: Yes, I'd be glad to take that. I think that's actually a really good story. As I think Karen covered with you, we had very diverse growth for the first quarter. There was no kind of home run in there. It's general Middle Market. It was Dealer, our Technology and Life Sciences. We did overcome some of that mortgage banking finance back up there of just over $350 million, but we also saw growth, Stephen, in health and in Environmental Services. Our Small Business portfolio actually stabilized, which was, I think, a real positive, up very moderately. And our Wealth Management business, it grew on record referrals between the commercial bank and to Wealth Management. So I think all of those businesses, if you think about it on a go-forward basis, I think are all positioned to grow in the future quarters, and that's where we've been reallocating some resources. Specifically, to your point about Commercial Real Estate, it was a big quarter for us. While we did see the averages on a linked quarter decline, you did see the end-of-period balances rise, and that was very positive. And that was on the back of residential single-family construction and multifamily construction in our portfolio, as well as mini perm growth in our multifamily. And that, again, is very consistent in our big-growth markets, urban markets in Texas and California. So I can't put my finger on one particular thing, and I think that's one of the strengths. We're getting the growth across all our core markets and across a number of our businesses.
Stephen Scinicariello - UBS Investment Bank, Research Division: That sounds great. And then, is about 2/3 of that pipeline still coming from new customers overall?
Lars C. Anderson: Yes, it is about 2/3, though, one thing I'd point out is when you look at a pipeline of new versus -- new to new versus new to existing, kind of the pull-through on that pipeline tends to be very much higher on your new to existing, so I wouldn't exactly use that as a proxy of how we're going to get all of our growth. But it looks very healthy.
Operator: Your next question comes from the line of John Pancari with Evercore Partners.
John G. Pancari - Evercore Partners Inc., Research Division: Can you give us a little bit of color on line utilization? What was the line utilization change if you exclude the mortgage warehouse for the quarter?
Ralph W. Babb: Lars?
Lars C. Anderson: Yes, absolutely. Yes. So we did see, as you may recall in the fourth quarter, we saw line utilization run up. That's an end-of-period calculation, but we saw that reverse end of period to the end of the first quarter. And that number did back down. It was down about 170 basis points. But frankly, if you look at the change in the end-of-period mortgage banking finance, that was down $686 million. So that represented almost 70% of the decline. Really, the balance of it was Technology and Life Sciences, and that was down just, frankly, to a few capital call facilities. They were paid down at the end of the year. And that's just normal kind of movement. So I would characterize line utilizations for the bank as really stable.
John G. Pancari - Evercore Partners Inc., Research Division: Okay, good. So -- and then you might have already mentioned it, but just in terms of what type of demand you're seeing on the Commercial Real Estate front, can you talk about what you're seeing there in terms of the drawdowns on some of the lines related to projects there?
Lars C. Anderson: Right, yes. So over the past year, I've been sharing with you all how much we've been doing in terms of closing volumes in Commercial Real Estate, but I've also pointed out that these are very, very well-capitalized projects, and a lot of equity has been plowed into these projects ahead of the senior debt that we're putting in. We're beginning to see that line utilization hit. We're beginning to see these projects get funded with some of our dollars, which, I think, is very positive. And then, we're seeing a number of them roll out into mini perms, which, of course, are fully funded facilities, which is very positive. Those may stay with us for 6 months. They may stay with us for 3 years because the extra strategies, of course, on those is either to refinance them to the perm market, to redevelop on them to broader projects if they have adjacent property kind of available or to sell the project. And frankly, as cap rates have moved around, we see the -- our developers have wavering kind of volumes going to the permanent market, which impacts some of those outstandings.
John G. Pancari - Evercore Partners Inc., Research Division: Great, that's very helpful. Then lastly, just on the margin, Karen. I know you don't really give too much guidance here, but just given the benefit you saw from excess liquidity starting to come off and seems like you're seeing some bottoming here on the downside risk to the securities book and then the abating Sterling accretion, is it fair to assume that we are likely to bump -- to bounce around a bottom here in terms of the margin without significant incremental downside?
Karen L. Parkhill: Yes. John, the big wild card there is excess liquidity and where that goes. But we do see a slowing of the other impacts of the trends. I won't predict margin, obviously, because I can't, but the big wild card is excess liquidity.
Operator: Your next question comes from the line of Paul Miller with FBR.
Thomas LeTrent - FBR Capital Markets & Co., Research Division: This is actually Thomas LeTrent on behalf of Paul. I just have a couple of quick questions. So C&I, we've heard from, I guess, a couple of your competitors that the rates are getting very competitive in that segment. Can you talk a little bit about that, what you're seeing?
Ralph W. Babb: Lars?
Lars C. Anderson: Sure. I would say we haven't really seen a significant change from, say, the last quarter, which I had characterized as, I think I used the term, a fistfight every day out there in the marketplace. It is very, very competitive. It used to be that the California markets were the most competitive for us, but it's really leached into, I think, the Midwest, into Michigan, into Texas and, frankly, into a lot of the other businesses. So it just means you got to be better than ever, spending more time with your customers and prospects, developing deeper, deeper relationships than ever before. And that's really what we're focused on. But I have not yet seen any relief there in terms of how competitive the pricing is. There are particular segments, though, that I would point out where it may be exceptionally aggressive. And in those cases, we've made a very conscious decision to stay very focused on our relationship-pricing approach. And frankly, if it moves outside of our pricing envelope or our risk envelope, if covenants and structure begins to fall away, that's okay. It's one of the strengths of Comerica, is we've got great markets. We got a lot of diverse businesses we're in. And we're not so big that we can't be nimble to reallocate those resources and find the growth where we can. We're up $3.3 billion in commercial loans; in the last year, over 13%. And so I think we've proven we've been able to kind of adapt to that competitive market.
Thomas LeTrent - FBR Capital Markets & Co., Research Division: Okay. Great. That's helpful. And then one quick follow-up. I think last quarter on the call, you guys were talking about how you viewed, I guess, loan rates overall as relatively stable on outside of accretable yield. Do you still feel that's the case?
Lars C. Anderson: Yes, I think loan rates are stable at a pretty darn aggressive level, yes.
Karen L. Parkhill: But I'd like -- on the overall portfolio, though, we are continuing to see a declining yields based on the overall portfolio mix shift. So while absolute loan rates are stable to customers, there is an impact on the portfolio.
Lars C. Anderson: And maybe just additional follow-up to Karen's point, one of the things we really focus on is the loan spreads. We got to make sure that we're covering our cost to capital; it's risk adjusted. And if I look back in our commercial businesses here for the last 5 consecutive quarters, our loan spreads have held. And so I just think, again, it's evidence of our discipline and, frankly, trying to find the opportunities in the market where we can in industries and markets that we understand and know.
Operator: Your next question comes from the line of Matt O'Connor with Deutsche Bank.
Robert Placet - Deutsche Bank AG, Research Division: This is Robert Placet from Matt's team. Just first, in terms of your outlook for fee revenues being flat in 2013 year-over-year, this implies some modest upside from the $200 million 1Q level, so I guess I was curious if you could just talk to some of the biggest growth opportunities in fees from here.
Ralph W. Babb: Karen?
Karen L. Parkhill: Sure. We are very focused, as we've talked about in the past, on fee growth and on increased collaboration across our lines of business around driving that fee growth. So really, it's being driven by the keen focus that we've got on it and increased collaboration. And Lars, I don't know if you'd want to add anything.
Lars C. Anderson: Yes. No, I think you made the point well. There is certainly a heightened focus and -- but it plays to our strengths. I mean, we've been a relationship-oriented bank for a very, very long period of time. It's how we've earned premium and how we've built long and enduring customer relationships. So I just think this is one of those challenges in the road, as we have some headwinds and some of the capital markets areas that Karen touched on and it creates maybe some -- just some challenges there. But frankly, we've made some investments into our card programs, Direct Express. We're one of the largest issuers of commercial cards for travel, entertainment programs in the country. It's great to see our fiduciary income in wealth begin to really get some lift. We got some great things going on there in asset management. So I look at treasury management. We've continued to make product investments there, and I think all of those create a very attractive long-term value proposition for Comerica.
Robert Placet - Deutsche Bank AG, Research Division: Okay, great. And then secondly, looking on Slide 8, the duration of your securities portfolio increased again this quarter to 3.4 years, up from 3 years last quarter, I believe. I was just curious if you could speak to that increase and if you've changed your strategy at all in terms of what you're buying there.
Karen L. Parkhill: Our strategy on what we're buying has not changed. Keep in mind the duration each quarter on our portfolio is the factor of what is rolling off, as well as what is rolling on. We continue to manage our portfolio very conservatively. What I would add is that when we look at an extension risk of an up 200 basis points scenario, a shock to the yield curve, you'll see that the maturity for the portfolio has not changed quarter-over-quarter.
Operator: Your next question comes from the line of Ken Zerbe with Morgan Stanley.
Ken A. Zerbe - Morgan Stanley, Research Division: I was hoping you could help us understand a little bit more on the deposits. With total or average total deposits being down -- but you obviously, highlighted the period end was flat -- what does this imply for excess liquidity going forward? And how much visibility do you have in the sort of deposit inflows and outflows of the escrow business?
Karen L. Parkhill: Yes. On excess liquidity, that's obviously managed fluidly, and you're right, Ken, it's the factor of both deposit and some growth. We'd much rather have -- be invested in loans than we would in deposits at the Fed. So as we see loan growth and as deposits fluctuate, that excess liquidity will move around. I don't know if that answers your question.
Ken A. Zerbe - Morgan Stanley, Research Division: Maybe a different question. If deposit balances were flat period end versus period end, should we see an increase in excess liquidity in the second quarter versus first?
Karen L. Parkhill: Yes. Excess liquidity is a factor of both loans and deposits, so should we see it flat, it really depends on overall loan growth. But ideally, we would like to see excess liquidity coming down and being invested in loan growth.
Ralph W. Babb: I think one of the positive things we saw, too, was in the businesses that grew, that Lars was talking about earlier, we started to see deposits go down, which tends to be a signal that they're starting to invest in the short term. Now that may not be long term. It's more for current demand, I believe, because everybody's being very cautious. But that's a positive signal from that standpoint. The other one is our title escrow business can go up and down as we've seen a lot depending on what home sales are or refinancing is in any one quarter, which will drive that excess liquidity up or down as well.
Ken A. Zerbe - Morgan Stanley, Research Division: Okay. And then just a quick question, in terms of the customer-driven noninterest income, that, I guess, used to be up and now it should be stable. Seemed like the rationale was just increased regulatory scrutiny, I suppose. Was there anything specific that changed it? Or is this just kind of your general feeling about the regulatory environment has changed?
Karen L. Parkhill: It's our focus on going forward. We're seeing an impact currently and seeing -- thinking that, that is likely to persist, particularly on our derivative income, where the new regulation dictates the size and type of customers where -- who we can transact derivatives with, as well as requires full reporting of each trade. And because of that new regulation, we are seeing an impact and expecting that to continue.
Operator: Your next question comes from the line of Erika Penala with Bank of America.
Ebrahim H. Poonawala - BofA Merrill Lynch, Research Division: This is Ebrahim on in behalf of Erika. I just [indiscernible].
Karen L. Parkhill: Erika?
Ralph W. Babb: We can't hear you.
Operator: The question has been withdrawn. Your next question comes from the line Ken Usdin with Jefferies.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: I was wondering if you can just expand a little bit on the, just the Mortgage Banker business, understanding the seasonality and understanding your point about pipelines being strong. Can you just again remind us about how balances tend to track either applications or originations?
Ralph W. Babb: Lars?
Lars C. Anderson: Sure. So we provide -- just as little backdrop, we provide warehouse financing, working capital financing that bridges the difference between the time when a mortgage loan is originated and when an investor buys that or a pool of mortgage loans. That's simply what we do. So we are subject to see variations in those lines of credit, as mortgage application volumes rise or fall, typically driven by interest rates. Frankly, that has a lot to do with it. We have, throughout the year, shared with you, though, we have seen some variation that's been the results of investor constraints, their ability to, frankly, purchase enough of the volumes that have been held on those warehouse lines. So that has given us maybe a little bit higher levels than we otherwise would have realized throughout the year. So I would watch mortgage rates. For us, we actually have significantly changed the blend from about 70-30 refi to purchase, and we finished up this particular quarter at about 50-50 purchase versus refi, which is a pretty dramatic change, and I think it's a very positive one. It reflects on the improvement in the national housing economy and, frankly, the fact that the -- our mortgage customers are very active out there on the purchase market, working closely with Realtors. We also have a number of very tight relationships with some large national homebuilders that are feeding us a lot of purchase volumes. So fortunately, the results of that plus the fact that we have a very strong pipeline, we're bringing in new mortgage companies every single month. I do think that the more granular the broader base of customers in this business is creating a bit of a insulation on the downside. As maybe we do see a reduction in mortgage volumes. It's going to be spread over a lot more customers at Comerica.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: And in that business, can you give us an idea of what the average yield is on the Mortgage Banker book versus the 3/31 of the whole commercial book?
Lars C. Anderson: Well, unless it's in the earnings deck broken out, I don't think is -- I really can't do that. But what I would tell you is this. It is a very attractive business. It has some of the highest cross-sell we've got. 90% plus of our customers have treasury management products with us, which I think is a good lead indicator of who their lead bank is and lender. And frankly, I would tell you this is a very attractive business to us. This is subject to that same disciplined relationship pricing model, and we get returns that are very attractive to our shareholders.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Okay. And last question just on efficiency ratio, Karen, it's been around 68% for a few quarters now, and I'm just wondering -- I know you have that long, long terms under 60 with higher rates and heard your comments about what rates mean for NII still, but versus where we still currently are at 68%, can you make progress on the efficiency ratio from here without rates going up?
Karen L. Parkhill: Yes, thanks for your question. Our efficiency ratio, while it has been rounding to 68% quarter-over-quarter, if you look outside of the rounding, it has been trending down appropriately. We did lay out, as you may recall, our long-term target to be under 60% last year, and we talked about what it takes to get there. It takes loan growth, fee growth, expense management and a bit of a rate uptick from where we are today. So we're tracking on all of those first 3 things, and we can move the needle without rate. But to ultimately reach our goal, we will need a slightly higher rate environment but clearly not a normal rate environment.
Operator: Your next question comes from the line of Erika Penala with Bank of America.
Ebrahim H. Poonawala - BofA Merrill Lynch, Research Division: This is Ebrahim in behalf of Erika. Yes, apologize for that previously. I just wanted to follow up on your comments in the question on deposits and excess liquidity means. Thanks, Karen, for providing color in terms of the potential for deposits probably trending lower as the economy picks up and businesses draw down on balances. So should we sort of expect that if that were the case, we should see a steady decline in securities portfolio, both in absolute dollar terms and in terms of the percentage of earning assets going forward?
Karen L. Parkhill: Yes, thanks for the question. On the securities portfolio, just like excess deposit, we would much rather be invested in loans. So yes, as we see deposit potentially be used for customer use rather than sitting on our balance sheet and loan growth, we would expect to not only have our excess liquidity decline but have our securities portfolio decline as well.
Ebrahim H. Poonawala - BofA Merrill Lynch, Research Division: Got that. And I guess one last question just in terms of should we -- you guys haven't made any comments about the dividend post the stress test. Should we anticipate a potential similar increase in the second quarter like last year or...
Karen L. Parkhill: On dividends, we did increase our dividend in January last year from $0.15 to $0.17. That was part of the 2012 capital plan.
Ebrahim H. Poonawala - BofA Merrill Lynch, Research Division: Right. But as part of the 2013 capital plan, could there be potentially another dividend increase in the second or third quarter of this year?
Ralph W. Babb: The review of dividends is really the purview of the board, and they will look at the dividends as we move forward.
Operator: Your next question comes from the line of Mike Turner with Compass Point.
Michael Turner - Compass Point Research & Trading, LLC, Research Division: I understand the Fed recently, about 3 weeks ago, put out new guidance on the leveraged loans, and I believe it was really unchanged since the initial proposals a year ago. But I'm curious of what the impact of those, that new guidance is. And then also secondarily, if you have any comments on maybe what today's environment is relative to the '06, '07 time frame?
Ralph W. Babb: Okay. John?
John M. Killian: Yes. Thanks for the question, Mike. We've been working on this new definition for sometime along with everybody else in the industry as well. It is different than prior guidance. So we're all learning how to apply it as we go forward. Frankly, it's just too early to tell what the overall impact would be, but we think the rule is a reasonable one, and we will certainly comply going forward.
Michael Turner - Compass Point Research & Trading, LLC, Research Division: And how is this -- maybe if you could give us some color on the environment today relative to, say, the '06, '07 time frame for levered loans, like the lending environment?
John M. Killian: I think it would be fair to say in '06, '07 given the rather frothy state of the economy at that time, there were certainly more of those opportunities in the marketplace. We are seeing an increased level, certainly increased from the depths of the recession of late. So I suspect we will continue to see more of those as the economy continues to improve. We are maintaining our disciplines, our credit policies and considering them on a case-by-case basis. We are able to do some of those loans and some, frankly, we are not.
Operator: Your next question comes from the line of Kevin St. Pierre with Sanford Bernstein.
Kevin J. St. Pierre - Sanford C. Bernstein & Co., LLC., Research Division: Just a quick follow-up on noninterest-bearing deposits and sensitivity and dynamics there. Could you tell us -- embedded in your sensitivity to that 200 basis point rise in rates, which is about a 10% increase in net interest income, what are you assuming that -- what are you seeing around the noninterest-bearing deposit dynamics in that simulation?
Ralph W. Babb: Karen?
Karen L. Parkhill: In that simulation, we do expect deposits to decline, as the economy improves and as customers, hopefully, are using their deposits to grow their businesses.
Kevin J. St. Pierre - Sanford C. Bernstein & Co., LLC., Research Division: Could you quantify that or...
Karen L. Parkhill: No, we have not quantified it because it's a range analysis. It is based on history and is based on some of our thoughts around our large deposits that we currently have on the books.
Operator: Your next question comes from the line of Brett Rabatin with Sterne Agee.
Brett D. Rabatin - Sterne Agee & Leach Inc., Research Division: Wanted to maybe get an update, Ralph, if you could, on M&A and if you're seeing any increased activity in terms of people looking to pair up with you and maybe your appetite for acquisitions in the next couple of quarters.
Ralph W. Babb: As I've said in the past, from an appetite standpoint, we are very comfortable with our footprint today. And when you look at the numbers and especially the loan growth that we're seeing in the Texas and California markets, as well as the Michigan markets, we have a very good position in the urban markets that we're focused on. That means our list of strategic opportunities is shorter than it was. I won't say that it -- there aren't those that don't exist out there today that we would have an interest in. I think overall what you're seeing is a slowness in the M&A market, primarily due to some of the uncertainties in the capital requirements, and people are focusing on being conservative at the time until they get a better feel for where they can go from a leverage standpoint.
Brett D. Rabatin - Sterne Agee & Leach Inc., Research Division: Okay. And then secondly, I just wanted to follow up on some comments about expenses. I was hoping to get maybe a little more color around just the kind of the branch network and what kind of changes you might be making to your branch profile, whether in Texas, in California or also in Michigan?
Ralph W. Babb: Well, I think if you remember our strategy has been not -- we're not a mass market retail bank. We put our banking centers in locations that not only provide retail access but wealth access, small business, middle market, and that's been very important for us. Therefore, we don't have the footprint that many do that are dealing with the current issues. We are constantly looking at our model and bringing our model from -- and what I mean by model is the size of a banking center, and that size has been coming down for a period of time now as we look for new areas to open. So it's very much a point of being in branding and being in the right places for the types of businesses that we have and that we do. And we want multiple access in -- for multiple businesses.
Operator: Your next question comes from the line of Ryan Nash with Goldman Sachs.
Ryan M. Nash - Goldman Sachs Group Inc., Research Division: Most of my questions have been asked. Just a couple of quick questions on expenses first. Other than the 2 days, were there any other seasonal increases in the expense base related to payroll taxes? And second, what were litigation costs in the quarter?
Karen L. Parkhill: Yes. On increases, we said when we gave the outlook that we did expect increases for the year on things like pension and payroll, which shows up in employee benefits. And so you're seeing that in the first quarter, and that should continue throughout the year. On legal expenses, that was down, but that can be volatile.
Operator: Your next question comes from Josh Levin with Citi.
Josh Levin - Citigroup Inc, Research Division: Maybe you could talk about on the loan growth front, when you talk to your customers, what are you hearing from your customers today versus their confidence and their outlook for their businesses in the broader economy versus what you might have been hearing a few months ago?
Ralph W. Babb: I think, today, we are hearing continued caution. People are making good money, as I would describe it, and especially in the businesses that Lars went over earlier. But they're being cautious. They're not investing for the same term that they would have invested for in the past. They're really investing to meet current demand. Lars, you want to add anything to that?
Lars C. Anderson: Yes. No, I think you hit it well. I think there's still a very much of a guarded kind of position relative to making any significant investments. It's, I'd say, a reserved atmosphere and, clearly, I think if you look at the first quarter of the year, it was very quiet economically. And I think that was a reflection of continued uncertainty from our customers and our prospects.
Josh Levin - Citigroup Inc, Research Division: Okay. And then finally, when you think about the percentage of your business that comes from Midwest now versus the percentage of your business that comes from Texas and California, are you happy with where it is now? Or do you want to continue to see a shift away from the Midwest to Texas and California? How should we think about that from a longer-term perspective?
Ralph W. Babb: Well, the Midwest is a very important market for us and has been and will continue to be. And as I mentioned earlier in my remarks, the Michigan economy is coming back. The growth profile of Texas and California, as we've mentioned in the past, is beginning to accelerate. And now we have a good balance of markets, which was one of the key strategies was to be balanced. And when you look at that today, we're getting close to being almost 1/3 in each market. California market and the Michigan market are very close to being equal today. And as I mentioned earlier, we passed $10 million in the Texas markets, so it's about $3 billion-plus behind in the loan book, I believe, and is growing quite well. So the strategy for us is working well to balance out the geographic markets.
Operator: Your next question comes from the line of Matt Burnell with Wells Fargo Securities.
Matthew H. Burnell - Wells Fargo Securities, LLC, Research Division: Just a couple of quick follow-up questions. First of all, in terms of the yield on the residential mortgage portfolio, that actually seemed to increase about 15 basis points quarter-over-quarter. And I guess if you haven't already mentioned this, I'm just curious as to what the driver of that increase was and if that's potentially sustainable.
Karen L. Parkhill: Yes, that -- the increase is really driven by fourth quarter significant decrease really around changing NALs in that portfolio.
Matthew H. Burnell - Wells Fargo Securities, LLC, Research Division: Okay. So on a go-forward basis, we should think about the 4.39% number as a reasonable starting point for the next couple of quarters?
Karen L. Parkhill: I think that's a reasonable starting point. Obviously, it's a small portfolio, and it can be impacted by small swings.
Matthew H. Burnell - Wells Fargo Securities, LLC, Research Division: Sure. And I guess, just following up on your comments about the fee revenue guidance, I noticed -- and maybe I'm mixing issues here, but it looks like in the Wealth Management business, profitability in that business over the past year has actually risen quite visibly on a percentage basis largely due to credit improvement but not much revenue improvement. Does the commentary that you're talking about relative to fee revenue have much to do with Wealth Management? And if not, how do you intend to grow that revenue?
Karen L. Parkhill: Actually, in Wealth Management our fees have been increasing nicely. You'll see a line item for fiduciary fees, which is our Wealth Management business, and you'll see that increasing nicely. One of the impacts on the overall or the key impact on the overall revenue for our segment reporting or our line of business reporting is the funds transfer pricing that we have internally on our deposits and our loans. So -- but on a fee basis, I would point to the fact that fees are actually increasing in the Wealth business.
Ralph W. Babb: And I would add to that and as Lars speaks to a lot and Curt does as well that the interplay between our major businesses and the cross-sell and the teamwork is -- has risen a lot, and that has been a real plus for the organization because we're seeing good growth in those fee-based areas. Lars, you have anything to add to that?
Lars C. Anderson: No, Ralph, I think you hit it well. I think it's one of our best growth opportunities for noninterest income for our company. We have, as you know, a very rich Middle Market book of business that, frankly, I think that we can achieve much higher cross-sell rates into the partners, principals, owners, executives of these companies as we have a go-forward basis. And Curt and I are working closely together with some very talented Wealth Management colleagues with the right kinds of products for advisory fiduciary. I think we're very well positioned to drive that in the future.
Matthew H. Burnell - Wells Fargo Securities, LLC, Research Division: And just a follow-up on that, have you put out any guidance in terms of what you hope that growth rate might be relative to the overall revenue growth rate of the company?
Ralph W. Babb: We have not.
Lars C. Anderson: No. No, we have not, but I would assure you that the leadership in our commercial businesses have this on their scorecard. They have it in their annual review. And this is a very, very important part of their future.
Operator: Your next question comes from the line of Gary Tenner with the G.A. Davidson (sic) [D.A. Davidson].
Gary P. Tenner - D.A. Davidson & Co., Research Division: Just a couple of questions, just to go back to the escrow and deposit -- excuse me, escrow and title deposit business. Can you give us an idea of what your balances are in that business and maybe you highlight the end-of-period trend from 12/31 to March 31?
Ralph W. Babb: Lars?
Lars C. Anderson: Yes, let me just find the exact balances. Karen, you...
Karen L. Parkhill: Yes, I'm looking.
Lars C. Anderson: Okay, let's see.
Karen L. Parkhill: So our deposit balances in our FSD business are around -- and then they can fluctuate, but average for the quarter was around, fourth quarter, yes, a little over $3 billion.
Lars C. Anderson: Yes, so...
Gary P. Tenner - D.A. Davidson & Co., Research Division: Sorry, that was average for the first quarter, Karen?
Karen L. Parkhill: Yes.
Lars C. Anderson: Yes. And I -- to characterize maybe that a little bit, there are -- quarter-to-quarter, you may not see as much variation, but it kind of comes in waves, and I think as Ralph referenced earlier, it does -- there is some correlation to the mortgage markets, the amount of closings, activities that are going on. But I would also tell you that some of the variation that we see in that businesses is as we bring in new customers. This has been a growth business for us, and as we bring those relationships in, some of them bring substantial deposits with us. And I would leave you with one last point there: We are very focused on ensuring that this cost to deposits are very rational relative to our company needs.
Gary P. Tenner - D.A. Davidson & Co., Research Division: Okay. And you gave us, in the press release, the average balances for title escrow, the average numbers from fourth quarter to first quarter, just hoping to get a sense of how big is basically entire finance -- how much of that $3 billion of Financial Services division would be escrow and title?
Lars C. Anderson: I would be guessing to give you the exact number, but it would be a significant part of those deposits. We do have a few other types of companies that we work with. I'll give you an example, large law firms, some institutional deposits that we go to work for them, but that would be the biggest driver of our deposit base.
Gary P. Tenner - D.A. Davidson & Co., Research Division: Okay. And then on the construction portfolio, you've highlighted single family and multifamily. Can you give just any sense of pockets of particular strength where you're lending into or where demand has gotten particularly stronger?
Lars C. Anderson: Okay. I missed one word in there. Could you repeat that?
Gary P. Tenner - D.A. Davidson & Co., Research Division: I was just -- on the construction segment, you talked about growth there in single-family residential, as well as multifamily, just wondering if you could give some sense as to any pockets of strength geographically and where you guys are particularly focused on putting your money to work.
Lars C. Anderson: Right, right, okay. So that hasn't changed. We're very focused on the Texas and the California markets, the urban markets, the Houstons and Austins. And as you look at the Dallas-Fort Worth area, very rich. If you look at the, really, San Francisco, Northern Cal Bay Area, very interesting, Silicon Valley, as well as even in Southern Cal. So depending upon what the asset class is depends upon what we're active in. For example, there's less activity in Southern Cal in single family. There's a lot of activity in Northern Cal, but we're starting to see pickup in the industrial class in Southern Cal, which I think is a real positive. You're seeing multiple classes of assets in Northern Cal. Activity levels pick up, but it's still dominated by multifamily. If you look at Texas, again, dominated by multifamily. But again, we're seeing broader asset classes become very interested -- interesting to us. One thing that has not changed is we're very focused on primarily doing business with developers that have gone through the cycle with, that have followed through on doing what they said they were going to do. And we did for them the same things where we developed very strong relationships. They're well-capitalized projects. And frankly, I'm very encouraged. If you just look at those end-of-period numbers, I think that, that bodes well for us for this line of business.
Operator: Your next question comes from the line of Jon Arfstrom with Art Capital (sic) [RBC Capital].
Jon G. Arfstrom - RBC Capital Markets, LLC, Research Division: Jon Arfstrom, RBC. Just a couple of quick ones. The Midwest, you've touched on it, but it's the first time in a long time, and it looks like you had upped loans sequentially. I'm just curious if there's anything specific there or if you feel like it's broad based and it's likely hit the bottom in terms of loan balances.
Ralph W. Babb: Lars?
Lars C. Anderson: Yes. So, obviously, we were very pleased to see that kind of growth. It was our leading state, actually, in growth in terms of balances, so that was very positive. It was driven really primarily by 2 categories: general Middle Market, so you would guess that a good amount of that would be driven by the automotive recovery, suppliers and such middle market companies there that draw -- drew on their facilities but also began to make some investments; and then our dealer business. Our dealer business in, frankly, Michigan and the Midwest has really picked up, and I think that, that's a real positive for us. So is this -- did we hit bottom, was, I think, part of your question. Very difficult to tell, but I think it was a great step in the right direction and speaks to the health in the improving Michigan economy.
Jon G. Arfstrom - RBC Capital Markets, LLC, Research Division: Okay, that's helpful. And then, Karen, a quick one for you. Any art to the buyback pace? Or is it just -- my caveman math says you take the current pace and multiply it by 4, and that exhausts what you've got for the next 4 quarters? Is that fair?
Karen L. Parkhill: That is fair. We are -- we try to be in the market every day that we can. We don't pretend to be soothsayers on the market or try to market time. So I think your comment is fair.
Operator: Your final question comes from the line of Joe Stieven with Stieven Capital.
Joseph Albert Stieven - Stieven Capital Advisors, L.P.: Ralph, mine sort of follows up on Jon Arfstrom's comments. When you look at your capital, which is great and your asset quality is great, what do you feel? And so I'm not asking for a prediction, but what do you feel is the right level of capital, that tangible common basis that you need to run your business sort of in a -- in the new world order? That's question number one. And then question number two is how much flexibility do you have in your stress test CCAR submissions to -- because even now, you guys are paying out one of the highest ratios of everybody, but your capital is still building and growing? So do you have the ability just sort of go back and say, yes, we're still building capital. We don't want to -- maybe buy a little bit more before next year? Or is it still just like going up to the great Wizard of Oz and getting your blessing? So that's it.
Ralph W. Babb: Okay, thank you. Well, I think the answer to your question there is the uncertainty that's out there. As you've seen, there are a number of different focuses on what is the right capital structure, including Basel III. There's been other suggestions put forth. And until we understand exactly what those rules are, I think it's premature to estimate what it may be for us on the longer term. Historically, as well, we have always been conservative on the capital side, and I think that has held up well in the downturn that we saw. And we will certainly continue to do that as well. But until there's certainty, until the rules are adopted, I think it's too early yet to indicate where we want to be, like we have in the past, which we will do hopefully again when we know those rules and can make that decision. And we've always been very transparent as to what our focus is. Karen, do you want to add anything to that?
Karen L. Parkhill: Yes. Just to put some color around what Ralph said, in the past you may recall that we did have a public capital range under which we operated. So our shareholders knew that, and they knew the kind of payback that we would do over and above that capital range. Once the rules are final and clear, we would like to go back to doing what we had in the past. As Ralph said, just too early right now. And on the stress test in capital plan, yes, we do come at it from a position of strength, and that is one of the reasons that our capital payout -- that our payout ratio is one of the highest amongst our peers. But each year is a different year, and we'll have a new test in a new year next year.
Operator: That was our final question, and I'd like to turn the floor back to Ralph Babb for any closing remarks.
Ralph W. Babb: Well, we appreciate everybody being on this morning, and thanks for the discussion. And I hope everyone has a good day. Thank you.
Operator: Thank you. This concludes today's conference call. You may now disconnect.